Operator: Good day, ladies and gentlemen, and welcome to the Sanmina Corporation's Third Quarter Fiscal 2019 Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct the question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder this call will be recorded. I would now like to introduce your host for today's conference Ms. Paige Melching, Vice President of Investor Relations. You may begin.
Paige Melching: Thank you, Katherine. Good afternoon, ladies and gentlemen, and welcome to the Sanmina's third quarter fiscal 2019 earnings call. A copy of our press release and slides for today's discussion are available on our website at sanmina.com in the Investor Relations section. Let me remind everyone that today's call is being webcasted and recorded and will be available on our website. You can follow along with our prepared remarks in the slides provided. Please take a moment to review the forward-looking statements on slide 2. During this conference call, we may make projections or other forward-looking statements regarding future events or the future financial performance of the company. We caution you that such statements are just projections. The company's actual results of operations may differ significantly as a result of various factors, including adverse changes to the key markets we target, significant uncertainties that can cause our future sales and net income to be variable, reliance on a small number of customers for a substantial portion of our sales, risks arising from our international operations and other factors set forth in the company's annual and quarterly reports filed with the Securities and Exchange Commission. You will note in our press release and slides issued today that we have provided you with a statement of operations for the quarter ended June 29, 2019, on a GAAP basis, as well as certain non-GAAP financial information. A reconciliation between the GAAP and non-GAAP financial information is also provided in the press release and slides posted on the website. In general, our non-GAAP information excludes restructuring costs, acquisition and integration costs, non-cash stock-based compensation expense, amortization expense and certain other infrequent or unusual items to the extent material. Any comments we make on this call as it relates to income statement measures will be directed at our non-GAAP financial results. Accordingly, unless otherwise stated in this conference call, when we refer to gross profit, gross margin, operating income, operating margin, taxes, net income and earnings per share, we are referring to our non-GAAP financial information. I would now like to turn the call over to Michael Clarke, our Chief Executive Officer.
Michael Clarke: Thank you, Paige. Good afternoon, everyone and thank you for joining the call today. Here with me on the call is David Anderson, our CFO.
David Anderson: Welcome, everyone.
Michael Clarke: I'm pleased to welcome Hartmut Liebel, our new President and COO to the call today. He has extensive knowledge of the EMS industry and run a major complex global organization. He will help us continue our path of operational excellence and growth. I am very pleased to have Hartmut joined the Sanmina team. With that, I would like to give him an opportunity to say a few words.
Hartmut Liebel: Sure. Thanks, Michael. So, very good to be here. The initial impressions after four weeks with the company are very positive. I'm really impressed with the team and our bench strength and how we approach our business in a disciplined and very consistent fashion. The pipeline of opportunities in our select end market is strong. And all that gives me full confidence that we have a great foundation to work from. So I'm really glad to be on the team. Michael, back to you.
Michael Clarke: Great. Thank you, Hartmut. Just to give comments on the quarter, before I turn it over to Dave. We are very pleased with the quarter, which came in as we expected. Revenues are above our outlook over $2 billion driven by solid demand for a broad range of customers and markets. We delivered solid operating margin of 4% at our midpoint and are up 4% plus target range. Non-GAAP earnings came in at high end of our outlook at $0.82 with solid free cash flow of $139 million. Our strategy is working. We continue to enhance our operational performance and further develop our go-to-market strategies in a high-mix mission-critical high-margin business. And we're on track to achieve mid-teen growth for fiscal year 2019. I will now turn the call over to Dave to give you some details on the quarter and our Q4 guidance. After which, I will provide more color on our end markets and the business followed by Q&A. Dave?
David Anderson: Thanks, Michael. Please turn to slide 3. Overall, our third quarter revenue and non-GAAP diluted earnings per share exceeded our expectations. Revenue of $2.03 billion was at the high end of our outlook of $1.925 billion to $2.025 billion. This was driven by solid demand across all of our end markets. Revenue was down 4.7% sequentially and up 11.8% from the third quarter of last year. As supply continued to stabilize in the third quarter, we were able to continue catching up the demand from a broad set of customers and are seeing revenue return to more normalized level. We also benefited in the quarter from the ongoing ramp of new programs to volume production. Non-GAAP diluted earnings per share at $0.82, was at the high end of our outlook was down 9.7% sequentially and up 48.4% over the third quarter of last year. On a year-to-date basis, non-GAAP diluted earnings per share have grown 66.7%. I will discuss our end market revenue, non-GAAP margin and non-GAAP diluted earnings per share performance in more detail in a few minutes. Please turn to slide 4. From a GAAP perspective, we reported net income of $42.9 million, which resulted in diluted earnings per share of $0.60 for the third quarter. This was up $0.03 sequentially and $0.13 from Q3 of last year. The sequential improvement in GAAP diluted earnings per share was largely result of our ability to make further operational improvements that partially offset the negative contribution margin flow-through on a sequential drop in revenue. The improvement over Q3 of last year resulted from higher gross profit, driven by the positive contribution margin flow-through on the increased revenue as well as operational improvements. My remaining comments will focus on the non-GAAP financial results for the third quarter of fiscal 2019. At $149.7 million, gross profit was down $5.4 million from the prior quarter. Gross margin came in at 7.4% which was 10 basis points higher than Q2. Operating expenses were up slightly on a sequential basis and in line with our Q3 outlook at $68.6 million. As a percentage of sales, operating expenses were up 20 basis points sequentially to 3.4% and flat compared to Q3 of last year. Operating expenses were up sequentially mainly due to higher incentive and professional services costs. Operating expenses continue to be one of our key operating levers and we are focused on containing operating expenses as a percent of sales. On a year-to-date basis, operating expenses as a percent of sales are down 50 basis points to 3.2%. Operating margin was 4%, which was down 10 basis points sequentially and at the midpoint of our outlook and up 100 basis points compared to Q3 of last year. In Q3, we continued to be in line with our goal of driving operating margins to the 4% plus range. Other income and expense at $9.6 million was up $600,000 when compared with last quarter and up $3.8 million from the third quarter of last year. OIE was up slightly sequentially. We started to see a reduction in net interest expense from lower short-term borrowings throughout the quarter that were driven by our efforts to reduce our inventory level. This reduction in net interest expense was offset by a reduced gain in deferred compensation assets on a sequential basis. As I mentioned on last quarter's call, the gain in deferred compensation assets has no net impact on non-GAAP diluted earnings per share as changes in deferred compensation are equally offset in gross profit and operating expenses. The tax rate for the quarter was 17.25% of pretax non-GAAP income which was in line with our expectations. Our tax rate is impacted by the geographic distribution of our profits. We earned $59.2 million in non-GAAP net income with our non-GAAP diluted earnings per share coming in at $0.82 which was at the high end of our outlook for the third quarter. Non-GAAP diluted earnings per share were down $0.09 or 9.7% from Q2 and up $0.27 or 48.4% from Q3 of last year. This was based on 72 million shares outstanding on a fully diluted basis for Q3. Please turn to slide 5. I will now give you some color around our end market segments for the third quarter. We continued our solid progress in fiscal 2019 with better than expected revenue across each of our end markets. Communications networks was $736.3 million or 36.3% of Q3's total revenue. This was down 3.2% sequentially and up 9.4% year-over-year. Year-to-date revenue in this end market is up 14.2%. Industrial automotive defense medical was $1.12 billion or 55% of revenue for the quarter. This was down 4.1% on a sequential basis and up 19% compared to the same period a year ago. Year-to-date revenue in this end market is up 29%. Revenue is up year-to-date and year-over-year across all four subsegments. Cloud solutions consists of cloud computing, storage systems, point-of-sale, and casino gaming. This segment was $176.4 million or 8.7% of revenue in the third quarter. It was down 13.2% sequentially and down 13.6% compared to the same period a year ago. Year-to-date revenue in the end market -- in this end market is up 8.7%. While in aggregate customer demand remained fairly stable, a key contributor to the better than expected Q3 end market revenue and yearly growth was a continued stabilization of component lead times and our team's ability to partner with our customers and suppliers to meet demand requirements. Our top 10 customers were 55.2% of revenue for the quarter. We continue to diversify the programs we participate on within our customer base as we strive to improve our program and customer mix. Please turn to slide 6. The Integrated Manufacturing Solutions segment represents printed circuit board assembly and test, final system assembly and test, as well as direct order fulfillment. As you can see from the graph on the left, the IMS segment revenue was $1.72 billion, down $73 million sequentially. IMS gross margin was flat at 6.4% compared to the prior quarter. IMS gross profit margins came in better than we expected, largely driven by the profit, contribution flow-through and higher than expected revenue, and operational improvements including the resolution of certain cost recoveries from our customers. On the right is our second segment; Components, Products & Services. Components include printed circuit board fabrication, backplane assemblies, cable assemblies, enclosures, precision machining and plastic injection molding. Products include computing and storage products, defense and aerospace products, memory and SSD modules as well as optical and RF modules. Services include design and engineering, as well as logistics and repair services. In aggregate, the review for this segment was down sequentially by $32.9 million to $362.1 million with gross margin up 100 basis points from Q2 at 11.2%. CPS segment gross margins improved sequentially, mainly driven by improvements in the gross margins within our products subsegment. As you can see on this chart, CPS revenues have dropped from a high of $456 million in the first quarter of 2019 to $362 million in the third quarter. This drop is largely due to the project nature of the tier one Cloud Solutions providers program that we started ramping back in the fourth quarter of 2018. As you can also see, CPS gross margins have been improving steadily in 2019. This is largely due to operational improvements that we've been making across this segment as well as some continued benefits flowing through this segment from the restructuring actions, we announced back in January of 2018. Please turn to slide 7. Here we are showing you the quarterly trend in our key non-GAAP P&L metrics. Revenue was down 4.7% from last quarter and up 11.8% over Q3 of last year to $2.03 billion, which was slightly above our outlook. Gross profit was down 3.5% from last quarter to $149.7 million. Gross margin at 7.4% was up 10 basis points from last quarter and consistent with our outlook. Our operating profit was down 7.2% from last quarter to $81.1 million. This led to operating margin of 4%, which was down 10 basis points compared to Q2. We continue to be in line with our goal of driving operating margins to be in the 4% plus range. Non-GAAP diluted earnings per share were at the high end of our outlook at $0.82. And on a year-to-date basis non-GAAP diluted earnings per share have grown 66.7%. Please turn to slide 8. Our balance sheet remains strong. Our cash and cash equivalents were $414.3 million at the end of the quarter. Cash was up $8.8 million from the previous quarter. Accounts receivable was down $77.9 million. Contract assets were down $14.4 million. And inventory was down $91.4 million. We'll talk more about contract assets and inventory in a moment. From a liability standpoint we had $89.3 million decrease in accounts payable during the quarter. Our short-term debt was $154.6 million, down $488.7 million from the prior quarter. Short-term debt includes the current portion of our long-term debt. Our long-term debt increased to $351.5 million. On May 31, we borrowed $375 million under the secured delayed draw term loan, that was available under our credit agreement, and we used the proceeds to discharge the senior notes loan indenture that was due on June 1 2019. The $375 million secured delayed draw term loan has a maturity date of November 30 2023. In conjunction with the setting up with the delayed draws term loan, we have entered into forward interest rate swap agreements that effectively convert our variable interest rate obligations, to fixed interest rate obligations, through December 1 2023. Through June 29 2019, we had entered into interest rate swaps with an aggregate notional amount [Technical Difficulty] approximately 4.3%. We also improved the flexibility of our capital structure by increasing the revolving commitments under our credit facility by $200 million to a total of $700 million. And we maintained the flexibility to increase our commitments by another $200 million under the accordion feature that is subject to lender approval. As of the end of the third quarter, our gross leverage was approximately 1.27 based on our total debt. Our strong capital structure provides Sanmina with the flexibility to be opportunistic. Overall, our balance sheet and capital structure remain in great shape. Please turn to slide 9. Here we are showing you the quarterly trend in our balance sheet metrics. Cash was consistent with prior quarters in the $400 million range. Cash flow from operations for the quarter was positive $165.5 million. Net capital expenditures for the quarter, were $26.1 million which was down from Q2 and below our expectations for the quarter. We ended the quarter with positive free cash flow of $139.3 million. Our cash generation for the third quarter was positively impacted by strong cash collections coupled with our team's continued focus on reducing our inventory levels. In the upper right quadrant, we are showing you the trend in inventory turns and dollars with the fiscal 2019, quarter shown on the old versus new basis for comparative purposes. As of the first quarter of fiscal 2019, Sanmina adopted the new revenue recognition standard, referred to as ASC 606 on a modified retrospective basis. As I previously indicated, we did not expect the adoption of ASC 606 to materially impact our revenue or earnings per share which was again the case for our third quarter of 2019. However, ASC 606 does have an impact on our balance sheet. With the recording of revenue on an overtime basis for the majority of our non-product revenue stream, we are required to reflect work in progress and finished goods inventory along with the profit element, as contract assets which is essentially unbilled receivables. As a result, at the end of Q3, we had $387.3 million of contract assets and $915.2 million of inventories on the balance sheet. For comparative purposes, from an inventory turns perspective, we have provided the inventory turns calculation for fiscal 2019, under the old methodology and the new methodology. Our inventory dollars under the old methodology were down $107 million sequentially to $1.28 billion and our turns were 5.6 times. We remain focused on reducing our inventory levels and improving our turns. Inventory continues to be a challenge, largely driven by ongoing material constraints on certain commodities such as resistors, capacitors and discrete semiconductors. While we saw a continued improvement in lead times during Q3, we still anticipate the supply environment will remain constrained. Particularly on legacy technology commodities, we expect this to at least be maintained through the remainder of calendar 2019 with supply potentially further tightening by the first half of calendar 2020. Lead times are still extended compared to a more normal market. We continue to work with our customers to better understand the demand outlook so that we can plan for the requirements with our suppliers. Our supply chain organization and operations teams continued to do a good job partnering with our customers and suppliers to secure constrained parts to continue to help us catch up with our customers' demand requirements, which was instrumental in our ability to generate revenue at the high end of our guidance and reduce our inventory by over $100 million. We will continue to work with our customers and suppliers to maximize the fulfillment of our customers' demand while also working on addressing our inventory levels and the negative impact on our cash flow. We expect to continue to make improvements in our operational efficiencies and materials execution in the areas we can control during Q4. In the lower-left quadrant, we're showing cash cycle days, which combines our cycle time for inventory, contract assets, accounts receivable and accounts payable. Overall, cash cycle time was up slightly on a sequential basis to 53 days, which was largely driven by unfavorable customer payment terms mix. Finally, pretax ROIC was 22.2%. This was down 0.9 percentage points from the prior quarter. Compared to the third quarter of last year pretax ROIC improved six percentage points and remains above our target of 20%. Please turn to slide 10. I will now share with you our outlook for the fourth quarter of fiscal 2019. Our pipeline remains strong. And as supply continued to stabilize, we expect revenue will start to normalize in the range of $1.9 billion to $2 billion. GAAP diluted earnings per share will be between $0.61 to $0.71. This includes estimated stock-based compensation expense of $0.12 per share. On a non-GAAP basis, we expect the gross margin will be in the range of 7.3% to 7.7%. Operating expense should be $67 million to $69 million. This leads to an operating margin in the range of 3.8% to 4.2%. We expect that other income and expense will be in the range of $10 million to $11 million and our tax rate should be around 17.25%. And we expect our fully diluted share count to be around 72 million shares plus or minus 0.5 million shares. When you consider all of this guidance, we believe that we will end up with non-GAAP earnings per share in the range of $0.73 to $0.83. For your cash flow modeling, we expect that net capital expenditures will be around $35 million while depreciation and amortization will be around $30 million. We expect net capital expenditures for 2019's fiscal year to be in the range of $130 million to $140 million. We expect to generate positive cash flow from operations in Q4, as we continue to drive better materials planning and execution by continuing to partner with our customers and suppliers in the supply-constrained environment. Overall, we delivered solid third quarter results at the high-end of our outlook. Our revenue at $2.03 billion was at the high-end of our outlook. We continue to drive our operating margins in line with our goal of 4% plus. Non-GAAP diluted earnings per share of $0.82 was at the top end of our outlook and we generated $139.3 million of free cash flow during the quarter. Taking the midpoint of our fourth quarter revenue outlook, we are on track to finish fiscal 2019 with year-over-year revenue growth in the mid-teens. This is consistent with the outlook we provided on our prior earnings call. We will continue to focus on our operational execution, productivity and cost structure that will leverage our operating model and help further expand our operating margins earnings and free cash flow. I will now turn the call over to Michael to further comment on our outlook for the fourth quarter and fiscal 2019.
Michael Clarke: Thank you, Dave. Could you please turn to slide 12 end market outlook which I'd like to provide some additional information. Communications networks made up of wireless network and an optical products. We continue to see a strong pipeline in the communications market. With traction on the 4G, LTE and 5G which drives not only the wireless infrastructure, but also the network and optical with some Sanmina is well-positioned. We see sustained demand in the optical space both metro and long-haul as well as our microelectronic capability. We expect fourth quarter revenues to be down sequentially as we end to the normalized level coming off a very strong first quarter. Overall based on our outlook for the full year, we expect our communications market to grow in the low double-digits. Industrial, defense, medical and automotive we continue to benefit from programs we have won and we continue to win that will support our growth in these markets in the future. These markets are mission-critical products that have higher qualification requirements. Our customers recognize our capabilities and the value-added we offer. As an example, we're seeing increased activity on our defense business as we expand and optimize our manufacturing footprint to service government classified programs for multiple product offering in multiple locations. Based on the forecasts from our customers, we expect our fourth quarter to be flat sequentially. However, for the full year, we expect these combined markets to grow in the 20% plus range. We see good growth potential in these markets and we are well-positioned for long-term. Cloud Solutions. We are being very selective in this market and continue to focus on building a strong pipeline with higher margin business. Based on the forecast, we expect the market to be down sequentially for the fourth quarter, but flat for the full year. Overall, we're really excited about the opportunities ahead of us. We have a solid customer base with a healthy pipeline and we continue to work closely with our customers on new programs. Some highlights of our core drivers. We are focused on profitable growth that aligns with Sanmina's strength. We are committed to controlling cost, driving efficiencies and leveraging our operating model to continue to improve profitability. We are laser-focus on excellence in quality delivery and meeting our customer needs. And our goal is to deliver consistent and predictable results for our customers and shareholders alike. Please turn to slide 13. In summary, Q3 was a good quarter for us, maintained operating margins in the 4% range solid cash generation provide us with a strong balance sheet and the flexibility to be opportunistic for new business opportunities. Our fourth quarter revenue outlook reflects a more normalized demand with a more stabilized supply environment. And we are confident, revenue for the full year will be in the mid-teens. I sincerely wish to thank our employees worldwide for their hard work and dedication. I thank our customers and suppliers for their support and our shareholders for their continued confidence in Sanmina. With that operator, I would open the call for questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Ruplu Bhattacharya with Bank of America. Your line is open.
Ruplu Bhattacharya: Hi. Thank you for taking my questions, and congrats on the margin improvement in the component and products side. Michael, I was just wondering for my first question, can you drill a little bit deeper into the Communications networks side? What did you specifically see in networking optical and wireless in terms of which one was stronger or weaker? Did they meet your expectation? Or did they beat? And can talk about the trend as they continue in the current quarter?
Michael Clarke: As I said, early on the communications market is all linked. We've been well-positioned especially on the wireless. And when you're well-positioned on the wireless, you get the network and then optical. And over the past several years, the team had been really strategizing of which area that the communication market we've been playing in. And we can see the benefits now in that market. I think when I look at our overall business, sometimes we can see that there's probably some inventory in the supply chain that needs to be burnt off at some of our customers. But generally speaking, we see a good future for this business.
Ruplu Bhattacharya: Just one more question related to that. Some of your competitors saw some weakness in routing and switching. Have you seen the same thing in that networking? Or did you see some generally positive trends in the networking?
Michael Clarke: Well, we're seeing general positive trends.
Ruplu Bhattacharya: Okay.
Michael Clarke: And everybody is on different programs and absolutely can't comment on what they say.
Ruplu Bhattacharya: Got it. Okay. And then one question for Dave. I mean, the CPS margins improved 100 basis points sequentially so that was a good margin growth. I was just wondering, I mean, can you talk to us about how much more growth could there be in that segment? Are there more efficiencies to drive how autofy there the components, products and services? And how should we think about segment margins going forward?
David Anderson: Yeah. So, Ruplu good question. No we've been -- as you know we've been focused on our components, products and services business. And we have been working hard to get improvements both operationally in there. And as I mentioned on the call, we saw some contending flow-through from the previous restructurings we did. As we mentioned before in this business, I mean, we see this one over the mid-term to be growing in the 10% to 15% range, and our operating margins that -- of course, what we've said before that we're targeting to get to is in the 6% to 8% range. We said that overall for the company, we're trying to get back to the 4% range overall for the company. So, as we continue to make improvements inside of the various piece of this business the components and then in the products and the services. And by doing that inclusive of adding more volume to it, which gives us a contribution margin of around 25%, we think that there is continued ability to improve the margins going forward.
Ruplu Bhattacharya: Okay. Okay. Thanks for taking my question, and congrats again on the quarter. Thank you.
Michael Clarke: Thank you.
David Anderson: Thanks Ruplu.
Operator: Thank you. And our next question comes from Jim Suva with Citigroup Investment Research. Your line is open.
Michael Clarke: Hi, Jim.
Jim Suva: Thank you. Hi.
Michael Clarke: How are you doing?
Jim Suva: Thank you so much for the detail support. It’s been great. You're coming off one of your strongest sales growth years. And jeez, my memory probably about nine years, 10 years, so very, very strong. And with that, there is an opportunity for people to some maybe expect that growth to continue or decelerate or facing some difficult comps. So I'm wondering if you can just maybe help us think about expectations so there is not a misalignment as we exit such a strong year this year of kind of what we should think of for next year, maybe not in details but at least kind of directionally because it's been such a robust strength of sales growth this year?
David Anderson: Yeah. So Jim, I think, as you know we don't -- like you just said, we don't give guidance beyond this quarter. And we have obviously -- we're seeing that we're coming out of this year as you mentioned with strength with our growth on revenue being in the mid-teens. As far as the future is concerned, I guess the indicator for us is as that at this point, we're still seeing a very strong pipeline of demand from our customers. And as we continue to monitor the situation in terms of the supply constraints, which still haven't totally gone away they're getting better. We expect to continue to be able to fulfill our customer’s requirements. But we -- we're really not in a position to tell -- to say other than what we've said before that we expect the IMS business to be in that 5% to 10% growth range and the CPS to be in that 10% to 15% growth range over the mid-term. Beyond that I can't give you anything further.
Michael Clarke: Can I just add something? I -- and obviously, we can't add to that, but I would say in an earlier slide, I said, our strategy is working, and we're focusing really on high-mix mission-critical high-margin business. And this has been going on for many, many years and I do see it coming to fruition, where we're very well positioned.
Jim Suva: Great. Maybe a follow-up question. The segment of industrial, medical, defense, automotive, lots of big pieces within that segment it was up very strong year-to-date. Can you give us any commentary of are there couple that are really standing out? I think you'd mentioned kind of broad strength across that. I mean any details around which those may be doing the better? Or are they all kind of the same?
David Anderson: No. As we said before that all the four sub-segments were actually fairly strong. So, we don't break out the sub-segments, but they're all up year-to-date is about what we can say there.
Michael Clarke: Yes. We're sort of very pleased with all of them.
David Anderson: For the year.
Michael Clarke: For the year.
Jim Suva: That's great. And then my last question is hitting your operating margin goal, you're kind of there now and you're very consistent with hitting that. Should we think about the focus of your company now is really kind of both feet on revenue growth and keeping that part of the engine going? Or are there other avenues that you're looking at that we should be aware of as we plan kind of the next longer term ahead? Thank you.
Michael Clarke: Well, I can't answer that, but we just brought on a new President and COO. So, we're not at all backing off on improving our margin as well as concurrently trying to improving our sales.
David Anderson: Yes, I would add to what Michael says. I mean as you know Jim our operating leverage model includes not just filling the plants, but we're trying to leverage both our efficiencies and the plants getting everything whether it's linearity of shipments in the plans things of that nature that add to the efficiencies using automation constantly looking at ways in which to use automation in our plants. So, we're always driving things aside from just filling plants, but definitely filling the plants with by the way I would say the right mix. I mean we're focused on diversifying our customer program, so the program inside of our customers to get the right mix for Sanmina.
Jim Suva: Thank you so much for the details and clarifications. That was great useful and appreciated. Thank you.
Michael Clarke: Thank you.
Operator: Thank you. [Operator Instructions] And our next question comes from Christian Schwab with Craig-Hallum Capital. Your line is open.
Christian Schwab: Hey, thanks for taking my call. Do you guys believe that the environment is getting potentially more competitive as it appears some of your peers are also now 100% focused on higher margin longer and product cycle customer wins and letting business that ramps up and down aggressively with lot of velocity and lower margins stepping away and firing those customers?
Michael Clarke: I don't think this business ever gets easy and it's always competitive business. And you just keep focusing on what you need to do in this business. I think a lot of it as we mentioned -- I think I mentioned about our defense business. You've got to keep increasing your capability keeping -- increasing your engineering. I mean that's how you stay competitive.
David Anderson: Yes, I think Christian as well I would add to what Michael has to say that Sanmina -- we're focused on what we do well and we've been focused on these high-growth high-part markets that are highly regulated for some time. And I think that we're seeing that we're getting traction there. So, as Michael said, it's a highly competitive industry, but we're trying to continue to be on our path and our plan and our strategy, which I don't think we deviated from and I think we're showing that we're starting to produce results.
Michael Clarke: And some of these markets the win take a long time to penetrate these markets. You have to get certified and qualified and registration pivot it can take years and I think we're really well-positioned in them.
Christian Schwab: Great. And then my last question relates to a follow-up to the gentleman's question about expectations going beyond this quarter. I understand that you don't want to give specific topline guidance. But can you directionally as you guys plan for your business over the next three to five years, what is the growth rates that you are assuming at your three different business segments without global economic disruption should grow at a broad range?
David Anderson: Yes. So, the broad range is that we've given and we actually have broken it into the two groups, the Integrated Manufacturing Solutions segment and the CPS. We've mentioned before that -- and we still believe these growth rates, again, if the economy holds up, are relevant is that for the CPS, we're looking at 10% to 15% annually. And this is in the two to three-year time horizon. And the IMS, we've been looking at 5% to 10% annually. And we also mentioned as well, taking that from the growth rates in the revenue down to the operating margins. On the IMS, as we get that back up into the gross margins back up into the 7% range, we started to get close to where we are achieving the 4% to 5% operating margin range, depending on how you allocate SG&A. And then, we're also driving the CPS back into the 6% to 8%. So that's really where we're focused. And we're focused on leveraging our operating model. In order to do that, we see targeting these target markets that we're talking about that they impact and benefit both of those segments as we look at our business and as we manage our business. So, I think, we're still feeling good about the fact that we're on track to those targets.
Paige Melching: Fabulous. No other questions. Thank you.
Michael Clarke: Thank you. Operator, I believe we've answered all the questions. With that, I thank you for joining the call today. We look forward to speaking with you next time, next earnings call. And have a great summer. Thank you.
David Anderson: Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes today's program. You may all disconnect. Everyone have a great day.